Operator: Good day, ladies and gentlemen, and welcome to the Clearwater Paper Corporation's Fourth Quarter and Full Year 2018 Earnings Conference Call. As a reminder, this call is being recorded today, March 12, 2019. I would now like to turn the conference over to Ms. Robin Yim, Vice President, Investor Relations of Clearwater Paper. Please go ahead.
Robin Yim: Thank you, Andrew. Good afternoon, and thank you for joining Clearwater Paper's fourth quarter and fiscal year 2018 earnings conference call. Joining me on the call today are Linda Massman, President and Chief Executive Officer; and John Hertz, Chief Financial Officer. Financial results for the fourth quarter and full year of 2018 were released shortly after today's market close. Posted on the Investor Relations page of our Web site at clearwaterpaper.com, you will find both the earnings press release and the presentation of supplemental information, including outlook slides providing the company's current expectations and estimates. Additionally, we will be providing certain non-GAAP information in this afternoon's discussion. A reconciliation of the non-GAAP information to comparable GAAP information is included in the press release or in the supplemental materials provided on our Web site. I would like to remind you that during this conference call, we will be making forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, as amended. These forward-looking statements are based on current expectations, estimates, assumptions and projections that are subject to change, and actual results may differ materially from the forward-looking statements. Factors that could cause actual results to differ materially include those risks and uncertainties described from time to time in our filings with the Securities and Exchange Commission, including our Form 10-K for the year ended December 31, 2017, and our quarterly filings on Form 10-Q. Any forward-looking statements are made only as of this date and the company assumes no obligation to update any forward-looking statements. Linda Massman will begin today's call with the highlights of 2018, followed by the fourth quarter financial results from John Hertz. Then, Linda will conclude our prepared remarks with an overview of the business environment, an update on our strategic projects and our outlook for the first quarter and full year of 2019. After that, we'll open the call for the question-and-answer session. Now, I'll turn the call over to Linda.
Linda Massman: Thank you, Robin. Hello, everyone, and thanks for joining us today. Let me start with an overview of 2018. Our results were largely driven by the strength and execution of our pulp and paperboard business, strong demand which led to record production and shipment and hard work of our dedicated and innovative teams. For the year, we generated $1.7 billion in revenues, flat versus 2017 and $177 million of adjusted EBITDA, down 7% from 2017. From a macro perspective, Clearwater Paper operates in an incredibly dynamic environment that is undergoing tremendous change and as we have said over the past month, 2018 was a challenging year for the tissue side of the business and the overall industry. However, we made progress on the strategic priorities we established for 2018. Some of our key accomplishments include implementing a regional operating model in our consumer products business which is beginning to produce results by taking millions of miles off the road and reducing external warehousing costs. While we are in the early stages, the team is making great progress in improving CPD margins. Second, we accelerated the start-up of our new converting lines in Shelby, North Carolina which has also contributed to taking additional miles off the road and reducing transportation costs. Third, we completed the sale of our recycled tissue mill in Ladysmith, Wisconsin which allows us to focus on our strategy of producing premium and ultra-quality tissue for the retail market. And fourth, we continue to work on realizing the full benefits of our continuous pulp digester at our Lewiston mill. While we anticipate some headwinds will continue in 2019, which we’ll discuss later on the call, we believe our strategic investments and the improvements in our operations position us for future growth in a rapidly evolving market. Regarding our tissue business and as you saw from our release, we took $195 million non-cash impairment charge involving the write-off of goodwill related to our acquisition of Cellu Tissue in 2010. This impairment charge is the result of an annual evaluation that took into account our projection of lowering price for certain tissue products, lower converted case sales volumes, a higher mix of parent roll sales and increased transportation and pulp costs that will continue for several quarters. However, we remain optimistic about the longer-term fundamentals for the tissue business and the growing trend of consumer preference for private label brands. It is important to note that the goodwill write-off is a non-cash charge and does not impact our current financial flexibility or the ability of our assets to generate future positive cash flows. Looking ahead to 2019, we are focused on the following to drive strong financial performance. These areas include starting up a new paper machine at our Shelby plant to fulfill customer contracts, manufacturing quality products and optimizing the network to deliver on our operating expectations; second, maintaining the $10 million of run rate benefits related to the continuous digester and finalizing a solution for the catalyst; and third, continue focusing on generating cash flow and to begin paying down bank debt in the second half of the year. I will provide further details on each of these initiatives later in today’s prepared remarks. Now, I’ll turn the call over to John to discuss our financial results.
John Hertz: Thank you, Linda. Let me start with a couple of high level comments on the full year 2018 and then get into some specific comments on Q4. 2018 was a challenging macro environment and we were adversely impacted by a competitive private label tissue market and significant commodity and transportation cost inflation. In 2018, we saw $28 million of tissue price and mix erosion versus 2017 and $40 million of commodity and transportation cost inflation versus 2017. We were able to overcome a significant portion of those headwinds through cost reduction programs and productivity gains, the lack of a major outage in 2018 and achieving higher selling prices in both businesses in the second half of the year. During the year, we delivered $177 million of adjusted EBITDA which is $13 million lower than 2017 due to the price mix erosion and cost inflation previously mentioned. Cash flow from operations remained strong at $169 million, approximately 10% of net sales. Before I turn to Q4, I’d like to preface my comments by stating that throughout the rest of my remarks I will be distinguishing between GAAP and non-GAAP or adjusted results. The reconciliation from GAAP to adjusted results is provided in the press release and supplemental slides posted on our Web site. For the full year, the EBITDA adjustments netted to $178 million of pre-tax expense largely due to the $195 million of non-cash impairment charge due to a goodwill and $8 million in reorganization-related expenses, all partially offset by a $24 million gain on the sale of Ladysmith mill and a $2 million mark-to-market benefit associated with directors’ cash settled common stock units. For the fourth quarter of 2018, the EBITDA adjustments netted to $195 million of pre-tax expense largely due to the goodwill impairment charge. Now to the results. Q4 net sales were $429 million, up 52 basis points from the third quarter and above the high end of our outlook range of down 100 to 300 basis points. This was largely due to higher prices for both paperboard and tissue offset by lower tissue shipments from the sale of the Ladysmith mill and lower seasonal demand. Fourth quarter adjusted gross margin of 10.9% was down 95 basis points from Q3 primarily due to planned recovery boiler water washes at both the Idaho and Arkansas mills, higher volumes of purchased pulp due to previously discussed pulping process disruption at the Idaho mill and higher natural gas prices due to a regionalize pipeline disruption that impacted the Idaho mill. Adjusted SG&A expense was $26 million in the fourth quarter which is flat versus Q3 but down $4 million from Q4 2017, reflecting the $16 million annual run rate benefit from our SG&A cost reduction effort. Corporate spending in the fourth quarter was $12 million of total SG&A expense and flat with Q3. Adjusted operating income of $20 million or 4.8% margin came in above the midpoint of our fourth quarter outlook of 4% to 5.5% and was down from 5.8% in Q3. Adjusted operating margin was impacted by the same factors as gross margin. As a result of all of that, adjusted EBITDA came in at $45 million or 10.6% of net sales which is at the high end of our outlook of $40 million to $46 million. Net interest expense of $7 million was flat with Q3. Turning to taxes. On an adjusted basis, our Q4 effective tax rate was 37.9% which is above our outlook of 31% plus or minus a couple points due to the tax impact of performance stock grants that did not vest. That compares to a 39.5% tax benefit in the third quarter which included a $10 million tax benefit associated with an alternative energy production tax credit recorded in the quarter. Due to accelerated tax depreciation related to our capital projects, we did not pay federal cash taxes in 2018 and do not expect to pay federal cash income taxes in 2019. Fourth quarter 2018 adjusted net earnings came in at $7 million, or $0.44 per diluted share. That compares to adjusted net earnings of $22 million, or $1.35 per diluted share, in the third quarter as the Q3 tax provision was a net $6 million benefit. Non-cash expenses in the fourth quarter of 2018 included $195 million goodwill write-off, $26 million of depreciation and amortization, $2 million of net non-cash pension and retiree medical expense, and approximately $500,000 in equity-based compensation expense. Now I will discuss the segment results. Consumer products net sales were $213 million for the fourth quarter of 2018, up 52 basis points versus the third quarter due to the implementation of previously announced price increases and a richer mix which was partially offset by the sale of Ladysmith and seasonally lower demand. Consumer products generated $1 million of adjusted operating income in the fourth quarter reversing the operating loss trend in the prior two quarters. Operating margin continues to improve with the implementation of operating model changes, the reduced freight, external warehousing costs and headcount to offset the weakened market conditions in retail tissue. Q4 consumer products adjusted EBITDA margin of $60 million or 7.4% of net sales was up from $13 million or 6.3% in the third quarter. Turning to the pulp and paperboard division. Pulp and paperboard generated record high net sales of $260 million in the fourth quarter, an increase of 53 basis points versus the third quarter. Average sales price per prime ton was flat to Q3 as higher pricing from our previously announced price increases was offset by weaker mix. Pulp and paperboard’s Q4 adjusted operating income was $32 million or 14.7% of net sales compared to $38 million or 17.9% of net sales in the third quarter, primarily due to weaker mix, the recovery of boiler water washes, higher natural gas prices and the need to purchase higher amounts of external pulp. Now turning to the balance sheet. Balance sheet capital expenditures were $85 million in the fourth quarter and $338 million for the full year. Fourth quarter cash capital expenditures was $122 million and was $296 million in 2018. For 2019, we expect our balance sheet capital expenditure to total $80 million and we expect cash capital expenditures to be $130 million to $140 million. We anticipate total CapEx for the Shelby project to be approximately $420 million or $30 million higher than we estimated last quarter. As the project is coming to a close, our focus has been to make necessary investments to hold the timeline as best we could to meet our customers’ commitments. These investments have allowed us to overcome recurring challenges similar to those we identified last quarter, including weather-related issues, higher building material costs in a very tight construction, labor market. We had $1 million of borrowings outstanding under the revolver at the end of the quarter and $21 million of other short-term debt. Long-term debt outstanding at the end of Q4 remains unchanged at $675 million. The secured leverage ratio for covenant purpose was 0.99x last 12 months adjusted EBITDA versus the covenant of 2x. We expect total net debt to peak in late Q1 early Q2 timeframe depending on the timing of cash flows and begin decreasing thereafter. Short-term debt outstanding as reported at year end was impacted by certain supply chain financing transactions. Our supply chain financing programs allow vendors to be paid by financial intermediaries on trade payables earlier than the due date of applicable invoices. In cases where we reimburse those vendors for fees that may incur in connection with the supply chain financing program, those invoices are classified as short-term debt rather than trade payables. There was $21 million of vendor invoices classified as short-term debt at December 31, 2018. Primarily related to the accounting for that program and the appropriate classification of trade payables and short-term debt on our balance sheet, we expect to report material weaknesses in our internal controls over financial reporting as of December 31, 2018 in our upcoming annual report on Form 10-K. There have been no material statements identified in previously filed financial statements as a result of the material weaknesses and we do not expect them to affect the timely filing of our 10-K. Remediation of those material weaknesses is expected to be completed prior to the end of fiscal 2019. Moving on to capital allocation. Since completing the Shelby project and then paying down the revolver is our top priority, therefore, we did not repurchase any stock in the fourth quarter. Approximately $30 million remains under the current stock repurchase authorization. Turning to liquidity. We ended the fourth quarter with $22 million of unrestricted cash and we had $192 million available under the revolver. During the fourth quarter, we generated $48 million of cash from operating activities or 11.1% of net sales. That concludes my remarks. And I will now turn the call back to Linda.
Linda Massman: Thank you, John. Let me now share more details regarding our strategic projects, discuss the market environment and what we expect for our business segments. Finally, I will conclude with our outlook for the first quarter and for the full year of 2019. I’ll start with our Shelby expansion plan which is nearing completion and is scheduled to start producing paper in Q2. We expect the total cost to complete this expansion will run approximately $420 million which is $80 million higher than the original estimate. This is also an increase of $30 million versus what we had estimated as of Q3. As John mentioned, we experienced some of the same issues identified during the third quarter such as default weather conditions and higher costs of labor, materials and construction. Also, engineering became more specific as it relates to the equipment as we moved through the last year of the project. In addition, we implemented new leadership at the plant to ensure that our strategy remains on track to meet our customer commitments and service our current customer volumes. In fact, all of the 2019 production from the new machine capacity is committed to existing customers. Our decision to take a more conservative approach and commission the paper machine in stages to ensure smooth ramp up of production is what led to a slightly later start-up. Before I move on, I’d like to thank the team for their hard work and dedication throughout this challenging process. As expected, the accelerated start-up of the converting lines and regional warehouse continues to drive savings in transportation and external warehouse costs which ultimately contribute to the improved operating earnings trend in our consumer business. We expect the new paper machine to be running at full capacity within 12 months. All of the 2019 production volume has been earmarked to fill existing customer orders. We expect initial ramp up costs in line with typical start-ups. Turning to the continuous pulp digester project in Lewiston, Idaho, the new digester is running well and our goal for 2019 is to maintain the $10 million annual run rate benefit achieved in 2018. We also continue to make progress in resolving the challenges with the associated polysulfide reactor. Currently, we are evaluating and determining the appropriate catalyst to be tailored to our process in equipment specification. Once we have received and installed the catalyst, we will then optimize the pulp making process to work towards achieving the remaining $20 million of cost benefits. As a result, we expect to realize the initial incremental benefits sometime in 2020. And last but most important, we will continue our focus on generating operating cash flow to reduce debt levels. Turning to our view of the market environment for each of our businesses and starting with the North American tissue market. Our consumer products business continues to bring us a mix of opportunity and challenges. While the competitive environment intensified as new capacity came online in 2018, the data suggest that consumers’ acceptance and preference for private brand and products continue to grow. For 2018, the IRI panel data estimated the U.S. tissue market in dollar terms grew by 2.2% year-over-year driven by healthy growth in private brands which is up 9.3% versus the year ago. This compares to national brands that were down 60 basis points over the same period. As a result, private brand tissue market share for 2018 was approximately 30% of the total retail tissue market, up from 28% a year ago and 26% in 2015. The positive trend in private brands is reflected in the five-year CAGR of 3.6% for private brands versus negative 0.8% for national brands. Underlying the growth in private brands is a 12.7% five-year CAGR for ultra-quality private brand products compared to 20 basis points for national brands. In the premium quality category, private brands experienced a 2.8% CAGR over the last five-year period compared to a negative 2% for the brands. Private brands share a total tissue products sold through the club, mass and supercenters have continued to grow over the last five years. While the grocery channel has stabilized and showed modest growth in 2018, by comparison the dollar and drug channels have experienced a decline over the same period. In e-commerce which is still relatively modest at less than $0.5 billion, private brands grew at 24.2% of total tissue products sold over the Internet in 2018 versus 15.5% in 2017. Based on IRI data, Clearwater Paper’s 2018 share of the total tissue market was 4.5% and our share of the private label portion of that market was 15.1%, down from 2017 largely due to ultra-quality capacity constraints. We have been challenged by balancing our fixed ultra-quality capacity with growth in our existing customer base and the addition of new customers, so we are glad our new ultra capacity in Shelby will come online shortly. Looking to 2019, RISI estimates that the U.S. tissue market will grow approximately 1% in line with long-term trends and we believe the private label should continue to gain share. The most current RISI forecast for net new tissue capacity from 2019 through 2021 is 444,000 tons which is a decline of 55,000 tons from RISI’s forecast at the end of Q3 to recently announced mill closures. Over the next three years, RISI’s scheduled capacity additions forecast 231,000 tons coming online in 2019, 136,000 tons in 2020 and 77,000 tons in 2021. Assuming all of that capacity comes online as scheduled plus net imports for approximately 557,000 tons, inducing RISI estimates for demand in North America, the demand to North American capacity ratio in 2021 is forecasted to be approximately 97%. Turning to North American paperboard, RISI’s outlook for 2019 is for a balanced market with operating rates averaging 96% for the year. RISI forecast demand for SPS to grow 4.5% in 2019 following growth of 2.2% in 2018. RISI’s forecast suggest that the incremental industry capacity is likely to be absorbed by a 2.7% forecasted uptick in domestic food service and liquid packaging, approximately 7% growth in exports and a 2% decrease in imports. 2019 prices published by RISI are still forecasting certain grade of SPS to improve, approximately 5% in 2019 consistent with healthy operating rates and the relative strength in the CUK and CRB segment. As for CUK garnering a price premium to SBS, it is difficult to predict whether this trend will continue. So far we are seeing seasonal backlogs normal for this time of year. For example, if customers were to substitute in a less extensive substrate such as SBS for CUK, this could serve to tighten up the SBS market. In terms of our capital allocation priorities in 2019, we expect our capital will be devoted to completion of a new tissue machine at our Shelby facility with any excess cash being used to pay down debt. Now to our first quarter of 2019 outlook compared to the fourth quarter of 2018. We expect consolidated net sales to be down 1% to 2% sequentially, primarily due to higher converted case shipments, an improved mix in our consumer business offset by lower seasonal paperboard shipments. Consolidated adjusted operating margin to be in the range of 3% to 4.5% based on higher input cost for natural gas resulting from a disruption to one of the pipelines servicing the Lewiston mill that has resulted in an unprecedented surge in natural gas prices in the quarter and an adjusted tax rate of 25%. We expect this to result in adjusted EBITDA in the range of $37 million to $43 million and adjusted net earnings for fully diluted share in the range of $0.16 to $0.40. We believe our first quarter outlook represents a pretty good baseline of our business for the remainder of 2019, except for the following items. We expect natural gas prices to return to more normal levels starting in the second quarter through the fourth quarter which should reduce cost by $4 million to $5 million per quarter going forward and our planned major maintenance outages are scheduled for Q3 in Lewiston with an estimated cost of approximately $18 million and for Q4 in Cypress Bend with an estimated cost of around $7 million. As we look at Clearwater Paper in 2019, there are a number of variables whose final outcome will impact our financial performance. Those include our ability to produce the right quality products to meet customer demand, input cost particularly pulp on the tissue side as well as natural gas and wood fiber on the paperboard side, our ability to pass through cost inflation, in PPD it’s the outcome of our planned major maintenance outages in Q3 and Q4, the new domestic paperboard capacity coming online and foreign exchange rates and their impact on paperboard exports and imports. And in CPD the effect of new entrants to the North American tissue market and channel shifts within retail tissue. In conclusion, 2019 will be a transitional year as we make necessary investments, manage through ongoing headwinds and ramp production at Shelby. While current market conditions in our consumer business continue to be challenging near term, we are encouraged that industry fundamentals in both the tissue and paperboard businesses bode well for the long term. In closing, I’d like to thank our employees who are at the heart of Clearwater Paper for their commitment to always making our operations safer and more efficient while keeping a sharp focus on the needs of our customers. I also want to thank our customers who make us better every day and for the support of our shareholders. And with that, we’ll now take your questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Chip Dillon with Vertical Research. Your line is now open.
Salvator Tiano: Hi, guys. This is Salvator Tiano speaking for Chip. How are you?
Linda Massman: Hi.
John Hertz: Hi, Salvator. How are you?
Salvator Tiano: I’m good. So a couple of questions. I just looked sort of at the easy [ph] things which are on the how should we think a bit about tissue? I think last quarter there was – you’re maintained high levels of parent roll tissue shipments offsetting essentially the Kroger loss volumes and we saw this quarter a decline. And I’m wondering what does this mean as we go forward? Is this Q4 kind of the right mix to think about for the remaining of the year, first of all? And secondly, the non-retail pricing came up significantly and I wonder why that is? Is it because of lower, again, parent roll versus away from home shipments or what else drove that?
John Hertz: Yes. So the reduction in parent roll shipments was largely due to the fact that we had sold Ladysmith late in the third quarter and that was pretty much all parent roll shipments coming out of that facility.
Salvator Tiano: And with regard to the pricing, non-retail going up?
John Hertz: Yes, and that’s – it’s a function of not having the Ladysmith in the mix because it was recycled paper. So we don’t have as high as a pricing on that.
Salvator Tiano: Okay, great. And then a little bit to clarify on Shelby. You mentioned that the – firstly, on the start-up, you mentioned it is a little bit delayed versus original expectations. You mentioned now Q2. When we think first of all Q2, are we talking April 1st or are we talking June? And secondly, how are you – now that you know essentially you’re almost in the finish line, but it seems the project is not going to deliver an attractive return to the contrary given all the stress it puts on the equity value of the company. I’m not really sure it added a lot of value. How is the company thinking about – how is the feedback process internally about making these decisions and making sure they’re corrected and in the future large projects are taken a little bit with less risk, making sure that you don’t see the same issues that you saw right now where the leverage was really high, you had to amend your covenants many times. What is being done internally to make sure you’re not going to see that again?
Linda Massman: Yes, so let’s start with your first question regarding Shelby and the start-up and whether or not we can give more specificity other than just Q2. I’d say at this time we’re just saying we’re going to start the tissue machine in Q2, just a slight difference from what we originally expected and the slight difference just being somewhat semantics on how we’re starting up the machine. We’re really taking a very thorough and thoughtful approach to methodically commissioning all the systems and ensuring that they work well together before we begin up the machine. The capacity and the production coming out of the new investment in Shelby is critical to our long-term strategy to be able to meet our customer commitments. As I talked about on the market trends, we’re seeing strong demand in the ultra category and this is also where we are capacity constrained. So Shelby will give us extra capacity to be able to meet those customer commitments and we indicated we already have customer contracts to meet our 2019 production. So we feel so good about the ability to take care of what our customers are looking for from us and the investment in Shelby. You asked about the project and some of the extra spending and some of the surprises we’ve had along the way. I think any time you’re looking at a multiyear project in an environment that is as dynamic as the tissue industry and one that has undergone so much change over the past few years, it’s always difficult to predict at the beginning of that kind of a project what kind of conditions you’re going to be faced with going forward. But your thoughts about how do we manage risk and how do we look at this going forward? I would tell you we take that very seriously at a management level and at a Board level with regard to making large capital investments and how we look at the risk, how we’ll manage through it. Our team has been actively engaged in trying to mitigate these cost increases that we’ve seen as it relates to the economic conditions in which we’re investing a lot of capital and a lot of these being cost of labor, cost of construction material, things that are somewhat difficult to avoid to keep a project on track and on time. But I will tell you like any major project we will go back, we will look at what could we have done better, what could we have done differently and that will absolutely be taken into consideration to make us better going forward.
Salvator Tiano: Great. Thank you very much.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Roger Spitz with Bank of America Merrill Lynch. Your line is now open.
Roger Spitz: Thank you and good afternoon.
John Hertz: Hi, Roger.
Roger Spitz: Hi. I wonder if you could discuss a little further some of the reporting control weaknesses. Do you expect any impact on sales and EBITDA and what were some of the key issues that you identified from this?
John Hertz: Yes, we don’t expect any impact on sales or EBITDA. It’s a balance sheet reclassification within current liabilities. I’d refer back to my commentary that is associated with the supply chain financing and we ended up making a payment to a vendor and that shouldn’t have happened. And so the controls over that program in particular and over more call it judgmental complex accounting issues in general is where we need to tighten up those controls.
Roger Spitz: Okay. And you impaired Cellu Tissue for a variety of reasons. You pointed to tissue pricing, freight and other general market environment forces. Why wouldn’t those adverse impacts cause you to impair at the legacy Clearwater Paper assets or was there something about Cellu Tissue that was different from legacy Clearwater? Obviously, legacy Clearwater was more ultra toilet tissue and Cellu Tissue was down towards the dollar, but it sound like these were sort of general market issues?
John Hertz: They were general market issues, impaired goodwill at first. And once that happened from a cash flow standpoint, we had enough to support the remaining assets within the CPD division.
Roger Spitz: Got it. And lastly and I can take this offline and it just came up on EBT, the transcript. But you mentioned that there’s balance sheet CapEx of 80 million which I guess I’m taking that to mean that’s what you’ll show on your cash flow statement and then you said there’s cash capital expenditures 130 to 140. Which is the CapEx or what’s the difference between those two numbers? I’m unfamiliar with that.
John Hertz: Yes, actually it’s the opposite. The 130 to 140 is it will show up on the cash flow statement but using accrual basic accounting would actually hit property, plant and equipment on the balance sheet is the 80 million.
Roger Spitz: You were referring to the PP&E in the balance sheet. Okay, got it. All right, thank you very much.
Operator: Thank you. Ladies and gentlemen, that does conclude the Clearwater Paper fourth quarter and fiscal year 2018 earnings conference call. We do appreciate your participation and you may now disconnect. Everyone, have a wonderful day.